Operator: Good day and welcome to the Cheniere Energy Fourth Quarter and Full 2017 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Bhatia, Vice President of Investor Relations. Please go ahead, sir.
Randy Bhatia - Cheniere Energy Partners LP Holdings, LLC: Thank you. Good morning and welcome to Cheniere Energy's fourth quarter and full year 2017 earnings conference call. Slide presentation and access to the webcast for today's call can be found on our website at cheniere.com. Participating on today's call are Jack Fusco, Cheniere's President and Chief Executive Officer; Anatol Feygin, Executive Vice President and Chief Commercial Officer; and Michael Wortley, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements. Actual results could differ materially from what is described in these statements. Slide 2 of our presentation contains a discussion of those forward-looking statements and associated risks. In addition, we may include references to non-GAAP financial measures, such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measure can be found in the appendix of the slide deck. As part of our discussion of Cheniere Energy, Inc.'s results, today's call may also include selected financial information and results for Cheniere Energy Partners LP, or CQP, and Cheniere Energy Partners LP Holdings, LLC, or CQH. On this call, we do not intend to cover CQP or CQH's results separately from those of Cheniere Energy, Inc. After prepared remarks, we'll open the call for Q&A. As shown on the agenda on slide 3, Jack will begin with an overview of the fourth quarter and full year, and then give an update on construction and operating progress at our liquefaction projects. Following Jack's comments, we will hear from Anatol on our commercial activities, and then from Michael, who will review our financial results. I will now turn the call over to Jack Fusco, Cheniere's President and CEO.
Jack A. Fusco - Cheniere Energy, Inc.: Thank you, Randy, and good morning, everyone. Thanks for joining us as we review Cheniere's results from the fourth quarter and full year 2017, and provide you with our improved outlook on 2018. By most conceivable relevant measures, 2017 was a breakthrough year for Cheniere. We achieved significant milestones operationally, financially, commercially, and just about everywhere in between. We have demonstrated our commitment to execution, operational excellence, financial discipline and, in doing so, we have delivered on our promises to our customers, employees, and stakeholders. We did so in the face of some challenging circumstances in 2017, most notably, Hurricane Harvey. So I'm especially proud of our workforces' resilience and dedication, which are key factors in our record 2017 results and improved outlook for 2018. Entering 2018, I'm more excited about Cheniere's growth prospects than at any time since joining the company. As the market continues to exhibit strength and demand for our product, in some cases, it's even better than we even anticipated. We've recently announced three new long-term SPAs, which we expect will support our growth plans at Corpus Christi. First, in January, we executed a long-term SPA with Trafigura. And earlier this month, we executed two long-term SPAs with China National Petroleum Corporation, or CNPC. We have recently executed another medium-term contract to provide CNPC additional cargoes in 2018 through 2020. These CNPC transactions, in particular, demonstrate Cheniere's strategic positioning, our ability to execute, and value proposition that is difficult for many to match. These long-term SPAs build upon Cheniere's growing activities and presence in China, including more than 35 cargoes of LNG delivered from Sabine Pass, the opening of an office in Beijing, and a broad and intense effort involving Cheniere employees from across our offices in Beijing, Houston, Washington, London, and Singapore. We are honored to be involved in this historic deal, the first direct long-term LNG supply contract between a Chinese company and a U.S. LNG exporter, a significant milestone in energy cooperation between the United States and China. I would like to thank the administration and, especially the Department of Commerce, for their support of U.S. LNG and China. With the commercialization of the Train substantially complete, as you will hear from Michael, we are now focused on completing the remaining steps necessary to make a final investment decision on Train 3 at Corpus Christi in the next several months. I look forward to putting a check mark on the now famous to-do list on my whiteboard next to FID CC3, as I'm sure you all do as well. Turn now to slide 5 for an overview of our key operational and financial highlights of the fourth quarter and full year 2017. For the full year 2017, we generated over $5.6 billion of revenue, consolidated adjusted EBITDA of over $1.8 billion and more than $600 million in distributable cash flow, delivering on the increased guidance for the full year we provided last quarter. Michael will provide some more color on our financial results in a few minutes. We loaded and exported a total of 205 cargoes of LNG from Sabine Pass in 2017, including a record 70 in the fourth quarter alone. We have now exported approximately 300 cargoes of LNG from Sabine Pass since start-up in 2016. And our product has reached 25 countries and regions around the world. This winter season in Asia has seen LNG demand continue to outstrip supply, resulting in elevated LNG margins, and pricing has shown significant resilience, we believe owing to an emerging structural shift in gas demand like we have discussed over the past year. In addition, we have seen strong production volumes at Sabine Pass as the colder months yield somewhat higher production. The combination of strong pricing, consistent production, and the fact that our marketing function has had access to a significant amount of volume to sell into the market has contributed to our improved outlook for the full year of 2018. Today, we are raising our full year 2018 guidance from $1.9 billion to 2.1 billion to $2.0 billion to $2.2 billion of consolidated adjusted EBITDA. I've mentioned on calls and investor forums that our demonstrated operating capability, our access to near-term LNG cargoes and our ability to directly deliver our LNG to our customers' docks are competitive advantages as we progress efforts to commercialize new capacity with term offtake. We have delivered on that with the recent long-term SPAs, which bring to bear our competitive advantages of demonstrated execution and operating capabilities, and the ability to provide LNG to our customers early through our portfolio volumes. These advantages are understood and valued by LNG buyers and we are focused on continuously leveraging them to support our growth initiatives. Slide 6 provides an update of progress at our LNG projects at Sabine Pass and Corpus Christi as of December 31, 2017. Trains 1 through 4 at Sabine Pass are complete and in operations, and all were completed ahead of guaranteed schedule and within budget. Substantial completion was achieved on Train 4 on October, about five months ahead of schedule. We look forward to commencing commercial service to GAIL whose 20-year SPAs tie to Train 4 at Sabine Pass in a week or so. As you may be aware, in January, we had a minor LNG leak from Tank 3 at Sabine Pass and we identified a minor vapor release from Tank 1. After safely securing the tanks, we notified the appropriate regulatory agencies. Tanks 1 and 3 have been taken out of operational service. Repair and remediation plans are being assessed, and a root cause analysis is in process. Safety is our number-one priority and we want to stress that there was and is no danger to the community, our workforce or the facility. Additionally, there has been no impact to LNG production from this incident. In the recent days, the Gulf Coast has been dealing with seasonal late winter fog. The U.S. Coast Guard has closed the port and stopped ship traffic for approximately a week. This has had some impact on our customers' ability to berth vessels in our terminal. We plan for weather events and we opportunistically pull forward scheduled maintenance to capitalize on this event. You should expect us to manage our infrastructure to maximize production over the year, which will help minimize any net LNG production impact from short-duration events, such as weather. In general, we have accounted for seasonal weather events like this one to occur and these events are factored into our guided range of 4.3 million to 4.6 million tonnes per annum of production a train. Construction continues to progress ahead of schedule and on budget for Train 5 at Sabine Pass and Trains 1 and 2 at Corpus Christi. We expect substantial completion for Train 5 at Sabine and Train 1 at Corpus in the first half of 2019 followed by Train 2 at Corpus in the second half of next year. Execution on our platform continues to be world class, which is our key competitive advantage in the current market, and this is certainly recognized and valued by prospective LNG buyers worldwide. As we discussed last quarter, we finalized the Train 3 engineering, procurement and construction contract with Bechtel Corporation. We got that project under way under Limited Notice to Proceed, or LNTP. Getting started under LNTP is designed to leverage personnel and equipment already on site at Corpus, and efficiently transition them to Train 3 work which would give Train 3 a bit of a scheduled head start prior to FID and full Notice to Proceed. Under LNTP, Train 3 engineering has progressed to 25% complete, ground and foundation work has begun and, most importantly, the train construction cost, schedule, and performance are fixed. Now turn to slide 7, where I've laid out a reinforcement of Cheniere's investment thesis and demonstrated how our strategic positioning and end-to-end project capabilities set us up for long-term growth. I'll start at the bottom of this slide, which focuses on operational excellence and reliability, which form the foundations of our ability to continue successfully marketing incremental liquefaction capacity on a term basis. As I said a few minutes ago, our reputation as a prudent operator is a distinct competitive advantage today. So given that, we are executing on our growth strategy from a strong foundation. The execution of the strategy is taking place in a fundamentally strong LNG market. If you look at the left side of this slide, short-term pricing has remained strong through the winter with prices clearing today higher than a year ago despite global LNG supply growing almost 30 million tonnes, 2017. And our positioning on the Gulf Coast with stable low-cost feedstock and our proven ability to source it positions us well to capture incremental demand. Finally, on the right side of the slide, we look to synthesize these dynamics with our capabilities to capture long-term growth opportunities. We've made significant progress on Train 3 since our last call, demonstratively leveraging our competitive advantages and are focused on pursuing FID in the next few months. As I stated in the beginning of my remarks, 2017 was a breakthrough year for Cheniere. We emerged from 2017 with pride in our accomplishments and with our strategic approach refined and improved by both successes and failures. Looking ahead at 2018 and beyond, our capabilities cement my confidence in our ability to capitalize on the significant opportunities present in the market today. And now, I'll turn the call over to Anatol to provide an update on our recent commercial activities and what we're seeing in the market.
Anatol Feygin - Cheniere Energy, Inc.: Thanks, Jack, and good morning, everyone. Please turn to slide 9. Loadings and deliveries from Sabine Pass accelerated during the fourth quarter as production at the plant continued to ramp with the start-up of commercial operations of Train 4 during the quarter. The substantial completion of Trains 3 and 4 in 2017, each well ahead of schedule, facilitated the export of more than 200 cargoes for the year, a significant increase from the 56 cargoes exported in 2016. The cargos were delivered to destinations all over the world with Mexico, South Korea and China as the top-three destinations for deliveries in 2017. This, in line with the recent trends in the global market, reflecting Asia as the most dominant source of LNG demand growth. About 45% of the cargoes were delivered to Asian markets while 14% were delivered to Europe, mostly into the premium markets on the Mediterranean. Northwest European market demand for gas was primarily satisfied via record pipeline gas flows from Norway and Russia, which helped free up volumes to balance the LNG market, again especially in Asia. Fewer cargoes were exported into the Middle East and North Africa, reflecting lower demand in the peak summer season in that region and a decreased pull from Egypt as the country ramps up production from its new offshore gas deals. Latin America took in about 30% of the deliveries as Mexico's needs remained strong throughout the year. Now, let me update you on some of our key takeaways on global LNG supply and demand dynamics as we exited 2017. Let's turn to slide 10. 2017 was a strong year of supply growth for LNG. The industry produced about 30 million more tonnes than it did in 2016. Australia and the U.S. accounted for approximately 75% of the supply growth. The U.S. via only Sabine Pass, of course, produced over 14 million tonnes in 2017 or about 5% of total global LNG production. Our plant added more than 10 million tonnes of production to the market in 2017, representing about 35% of the overall increase in global supplies. This is the largest contribution to growth of any single plant worldwide in 2017. And, of course, production at Sabine Pass is set to continue to grow. We alluded earlier to the strength in the Asian markets. These markets continue to consume more than 70% of the global trade which grew to about 293 million tonnes last year. Asia consumed an additional 22.6 million tonnes last year, absorbing nearly 75% of the incremental LNG volume in the year. The region's demand for LNG was strong year-round, but was even more buoyant in the fourth quarter as a result of strong economic performance, cooler temperatures and an accelerated push for coal-to-gas switching in China. The more established Asian markets of Japan, Korea, and Taiwan also exhibited stronger-than-expected demand overall, largely on the back of nuclear startup delays in Japan and repeated nuclear outages in Korea and Taiwan. Each of these established markets, long assumed by market observers to be flat to declining markets over time, all increased LNG imports year-over-year in 2017. Europe's overall LNG demand also strengthened in 2017, reaching 46 million tonnes or an increase of 20% year-over-year or almost 8 million tonnes. The growth was propelled by the Mediterranean importers, supported by weather factors, low hydro and positive coal-to-gas switching economics. The strong demand in Europe was not a reflection of a surplus in the global market as most pundits expected. Rather, it was an actual demand pull resulting from strong demand in power generation, declining domestic supplies and shortfalls in hydro and nuclear power production. As you can see, the flexible markets in Northwest Europe, considered the balancing markets for global trade or sometimes called markets of last resort, ended the year with a negative variance, down 2.4 million tonnes on the year as LNG sought to satisfy demand from other markets that needed it. You can see from the chart how remarkable China's growth was last year. China's overall gas demand grew by about 16% year-on-year to approximately 23 Bcf per day, with a significant portion, nearly 50% of that growth, satisfied by LNG imports. Domestic gas production gains satisfied 40% of the growth, and pipeline imports contributed about 10%. The country imported nearly 40 million tonnes, double the amount imported in 2015 just two years ago. 42% of the increase in global LNG supplies last year was absorbed by China alone, which made it Sabine's third-largest delivery destination in 2017. China's incremental intake of approximately 12.6 million tonnes of LNG this past year is equivalent to production from the three LNG-producing countries of Angola, Norway, and Equatorial Guinea combined. China is currently constructing approximately 1.8 Bcf a day of incremental regasification capacity, another tangible sign that LNG demand growth in China is structural. In the fourth quarter, China absorbed about 75% of both Australia's and Sabine Pass' incremental production for the quarter. This is a direct result of the Chinese government taking serious and what we believe to be sustained efforts to lower coal burn and reduce air pollution. We believe this is indicative of structural changes in the market that will have long-term positive implications for our business. Aside from China, Korea, Turkey, Spain and Pakistan were all among the key growth markets in 2017. Increased gas consumption in the power and heating sectors, along with increased attractiveness of gas relative to coal and liquids, helped boost demand. Pakistan continued to build on the momentum it gained in 2016. The country commissioned a second regas terminal in 2017 and is expected to ramp up import capacity to satisfy the growing need for LNG imports in the next few years. Collectively, these incremental four markets have added an incremental 10.2 million tonnes to global demand in 2017 despite robust prices, which for a good period this winter clear levels approaching oil parity as we illustrate on slide 11. LNG market prices in the fourth quarter cleared at levels higher than the past three years despite the start-up of several LNG trains during the second half of the year, including Sabine Train 4, Wheatstone Train 1 and Yamal's first train. These higher price levels continue to reflect the growing demand for LNG globally, which remains competitive against liquid fuels. At the same time, we've seen a slowdown in new supply capacity sanctioned over the past two years as the industry reacted to the rapid ramp-up in supply expected from 2017 through 2019 and the forecast of ensuing oversupply. With new supply expected to be needed by the early 2020s, a four- to five-year lead time for construction and a forecast oversupply not manifesting itself in the market, we see this year and next as a critical point for buyer decisions, a new volume. We believe Cheniere, with the economic and speed-to-market advantages of our expansion trains, is well-placed to meet market demand growth and innovative enough to meet evolving customer requirements. As Jack mentioned earlier, our recent commercialization efforts have yielded positive results. Our SPA transactions with CNPC and Trafigura are illustrations of our ability to capitalize on our competitive advantages and underwrite new liquefaction capacity. With that, I will now turn the call over to Michael who will review our financial results.
Michael J. Wortley - Cheniere Energy, Inc.: Thanks, Anatol, and good morning, everyone. I'll start this morning by highlighting some key components of our fourth quarter and full year financial results and will then give an update on tax reform impact to Cheniere. I'll cover our revised 2018 guidance and, finally, some of our near-term financial objectives. Turn now to slide 13. As Jack said earlier, 2017 was a breakthrough year for Cheniere and our financial results clearly reflect that. We reported consolidated revenue of over $5.6 billion, including over $1.7 billion in 4Q. I'm pleased to report consolidated adjusted EBITDA of just over $1.8 billion and distributable cash flow of over $0.6 billion for 2017, both metrics well within the revised guidance range we provided on our 3Q call. Guidance is a principal tool we use to provide transparency of our operations and expectations, and we aim to consistently deliver on the guidance we provide to the investment community. We exported 734 TBtu of LNG from Sabine Pass during 2017, including 51 TBtu related to commissioning. Approximately 35% of the total volume, 252 TBtu, was exported in the fourth quarter, including 7 TBtu related to commissioning. Of the volumes exported during the fourth quarter, over 60% of the volumes, approximately 155 TBtu, were listed by our third-party SPA customers, with the remainder listed by our marketing function. The marketing function had access to substantial production volumes in the fourth quarter due to the early completion of Train 4 and is expected to continue to have access to those volumes until the GAIL SPA commences March 1. During 2017, our long-term foundation customer SPA with KOGAS reached DFCD, as did our SPA's with Gas Natural Fenosa and the Train 2 portion of BG Shell SPA. Though considerable amount of our results for 2017 are related to cash flow from these long-term contracts with our investment grade offtakers, we expect cash flows from these 20-year SPAs will continue to grow as a percentage of our total overall revenues as DFCD dates continue to be reached. During the fourth quarter, we recognized the income statement impact of 209 TBtu of LNG produced at Sabine Pass, consisting of 245 TBtu loaded during the quarter, about 7 TBtu loaded in the prior quarter, but delivered and recognized in the current quarter, less 43 TBtu or 12 cargoes sold on a delivered basis that were in-0transit as of the end of the fourth quarter, which will be recognized in the first quarter of 2018. We also recognized in income 34 TBtu or 9 cargoes of LNG sold by our marketing function that were sourced from third parties. For full year 2017, we recognized the income statement impact of 660 TBtu of LNG produced at Sabine Pass and 98 TBtu of LNG sourced from third parties. Net income attributable to common stockholders for the fourth quarter 2017 was $127 million or $0.54 per share, and net loss attributable to common stockholders for full-year 2017 was $393 million or $1.68 per share. Net income for the year was impacted by increased income allocated to non-controlling interest. For the year, we had an impact of $748 million related to non-cash amortization of the beneficial conversion feature on CQP's Class B units prior to their conversion to common units in August. Excluding the impact of this item, we would have generated positive net income attributable to common stockholders of approximately $355 million for full year 2017. Turning now to slide 14, I'd like to address recent tax legislation and revised 2018 guidance. In considering the Tax Cuts and Jobs Act, we have identified four primary factors in the legislation that we expect to impact our tax position at Cheniere. We expect positive impact from a lower corporate tax rate and from bonus depreciation on qualifying capital investments, which will be largely offset by new limitations on using net operating loss carry-forwards to offset taxable income, and new limits on interest expense deductibility. We estimate the resulting NPV of these factors to be positive by approximately $200 million. Functionally, we anticipate that Cheniere will become a taxpayer sooner due to these new limitations on NOLs and interest around the early 2020s, but will pay a lower amount of taxes due to both the lower overall tax rate and the expansion of the NOL, which we expect won't be fully utilized for several more years as compared to our prior guidance. At the CQH level, we anticipate the timing of initial (26:03) tax payments to Cheniere under the Tax Sharing Agreement will remain materially the same starting around 2020 and that CQH will pay lower effective rates over time due primarily to the lower overall corporate tax rate and, to a lesser extent, from the limitations on utilization of NOLs. Moving now to guidance. Today, we are increasing our 2018 guidance for consolidated adjusted EBITDA, $2.0 billion to $2.2 billion. The increase in EBITDA guidance is driven primarily by better-than-expected margins on marketing volumes realized thus far this year. As Jack and Anatol described, we have seen higher LNG spot market prices and prices remaining higher for longer during the winter season than we anticipated for a number of reasons. Given that approximately 40% of the volumes expected to be available to our marketing function from Sabine Pass for 2018 are forecast in the first quarter, we have improved visibility into what marketing can deliver for the full year. Additionally, we had higher-than-expected DES volumes on the water during the end of 2017, 43 TBtu or 12 cargoes, which will be recognized in the first quarter 2018 upon delivery, and that is also contributing to the increase. One of the key financial goals for 2018 is to secure financing for Corpus Christi Train 3, which will help enable a positive final investment decision for that project. Using the portfolio of contracts signed to date, we are in process of arranging debt financing, which we anticipate to cover 50% to 60% of the total project costs for Train 3. As we've communicated, we plan to fund the equity portion of the project using existing cash and future operating cash flows, and we expect the higher amount of project equity into Train 3 relative to the first seven trains to help delever the consolidated enterprise. While we have not provided and do not intend to provide contract-level economics on Train 3, at this time we remain comfortable with the Train 3 run rate guidance range given at Analyst Day last year of an additional $400 million to $600 million of consolidated adjusted EBITDA and an incremental $1 to $1.70 in distributable cash flow per share. In addition to Train 3 financing, in 2018, we remain opportunistic in strengthening our balance sheet throughout the structure to the extent market conditions are favorable. In 2017, we raised approximately $5.9 billion across the enterprise, highlighted by the completion of the refinancing of the Sabine Pass credit facilities, refinancing Corpus debt into the bond market, issuing an inaugural bond at CQP and raising a flexible revolver up at LNG. As we look back on 2017, that's certainly a lot to be proud of from a strategic execution standpoint, but there's further work to do with approximately $1.1 billion of term loans remaining on the CQP bank facility due 2020 and approximately $4.6 billion total capacity remaining on the Corpus credit facility due 2022. That concludes our prepared remarks. Thanks for your time and your interest in Cheniere. Operator, we are ready to open the line for question.
Operator: Thank you, sir. And we'll take our first question from Matthew Phillips with Guggenheim. Please go ahead, sir.
Matthew Phillips - Guggenheim Securities LLC: Thanks. Morning, guys. So given the increase, 12 million tonnes or so, that China has taken in, in 2017 versus 2016, how do you see the market landscape setting up for this year and especially as we head into winter given that coal parity is wider? And I guess just in terms of the factors that caused the increase this winter, do you expect significant repeat of that into 2018 and 2019?
Jack A. Fusco - Cheniere Energy, Inc.: Hi, Matt. This is Jack. I'll start and then I'll have Anatol finish. First, I'm extremely proud of my team. We saw an opportunity in China over a year ago. We've been talking about China with all of you for an extremely long period of time. We saw that it was a structural change in China that it wasn't dependent on weather. So yes, it was cold in China and in Asia overall. But that's not what was driving the high LNG prices and China's demand for LNG. It was their Blue Sky initiatives. So in China, they are serious about minimizing their coal-fired power production and coal-fired heating to increase their air quality. And having been there multiple times, I can tell you they need to be extremely serious about it. The air quality in Beijing has a long ways to go yet to where it's healthy to breathe. So, we saw the structural change. We think it's there for the long term. We've positioned ourselves appropriately. We have our Beijing office that is actually staffed by Chinese nationals. With that, I'll let Anatol fill in any of my gaps.
Anatol Feygin - Cheniere Energy, Inc.: No gaps. Nice work, Jack. Thanks, Matt, for the question. Yeah. As we've said to you guys, we were optimistic as the market absorbed these volumes at more attractive and – more attractive prices and sort of more reliable supply. But we are, as Jack said, seeing very substantial structural change as we see that China – especially the China coastal market that we expect to extend from the kind of Central and Northeastern part of the country down along the coast into the South to continue to be one of the big drivers. Emerging Asia is the growth engine for the LNG market and China is the single biggest piece of that. And as Jack said, the successes that they've had on the environmental front, while a long way to go, Beijing reduced its air pollution by over a third in a year. And that was largely a function of shutting down the five large coal plants in the city limits and that success has not been lost on the rest of the country. And that's why we mentioned things like China increasing its regas capacity, promulgating new regulations and opportunities to continue to have gas gain market share en route to their 15% overall goal. So we're quite optimistic on that market, as Jack said, and have a great team in place to take advantage of that.
Matthew Phillips - Guggenheim Securities LLC: Got it. Thanks. And on CMI, I mean, you all shipped around 26 or 28 or so third-party cargoes for last year. I mean, how should we look at procurement costs for those cargoes? And how do you expect the landscape to shake out there? I mean, do you expect third-party cargoes to continue to be a big piece of CMI in 2018 even if you're fully ramped up?
Anatol Feygin - Cheniere Energy, Inc.: In general, I would characterize those as opportunistic for a number of different reasons. I'd say it's safe to assume that those numbers will decline in – for a couple of reasons, one is because CMI's overall volumes will decline, so the opportunities to optimize around those positions will be fewer as all the SPAs commence. But you should expect us to continue to take advantage of opportunities that the market presents. That's one of the advantages we have in the integrated model. And the amount of shipping that we control and the amount of volumes that we deliver to our customers will always present some opportunities, but it is not – I would say, it's not a key leg to the stool.
Matthew Phillips - Guggenheim Securities LLC: Understood. Last one for me. What was the gas procurement cost versus Henry Hub during 2017?
Anatol Feygin - Cheniere Energy, Inc.: It was better than we had modeled originally, but we'll just leave it at that. The team did a great job of supplying the plant with record volumes and we fully expect their good performance to continue.
Matthew Phillips - Guggenheim Securities LLC: Got it. Thank you.
Jack A. Fusco - Cheniere Energy, Inc.: Thanks, Matt.
Operator: And our next question will come from Jeremy Tonet with JPMorgan.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Good morning. Just wanted to circle back to CCL Train 3 FID here, and as I understand it – if I have my understanding right, it seems like you have sufficient commercial support here based on what you've outlined at the Analyst Day to move forward. Is there anything left besides lining up the financing before you would go forward in FID 3 here? And could you just refresh us that if you keep signing up contracts at the rate that you're doing can be another train after this, so would the next train make more sense at Corpus or Sabine, if you could help us out there?
Jack A. Fusco - Cheniere Energy, Inc.: Hi, Jeremy. This is Jack. So, no, we feel that we have enough contracts to commercialize Train 3. And as Michael said in his remarks that he's working diligently to get the financing wrapped up, so we can go into full FID on Train 3. If you go out there, you'll see again that we've already started with the foundation work and some of the groundbreaking work. And there's a lot of synergies with being able to transfer the workforce from Train 2 right over to Train 3. It depends, right. Sabine 6 is shovel-ready. There's still some crews there. It would be a logical next extension of Cheniere. We would call it Train 9. So, if the market continues to grow the way it has been in demand and the product that we have, we're very hopeful that we can launch right into having two trains FID.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That'd be great. And just looking to the guidance here. It seems like you had a lot on the water at year-end and that played into kind of the revenue recognition with CEI. So I was just wondering, as far as the guidance change, is it solely kind of the recognition of those cargoes in 2018 or are there other factors in play like the DAC (37:06) or anything else that kind of played into the guidance change there?
Michael J. Wortley - Cheniere Energy, Inc.: Yeah, Jeremy. It's Michael. Yeah, the DAC (37:14) drove, I'd say, 90%, 95% of the change. We had modeled a lot of cargoes on the water in our original guidance. As I said in the remarks, that's a little bit higher. We're talking maybe a cargo or two that flopped over into 2018. It's more pricing moving up. And I talked about a budgeted margin number of $1.50 to $2 on the last call. That number is more like $2.50 to $2.75 now, given the violent move, mostly in the winter, but also in the shoulder and summer months as well, that curve moving up. So, yeah, I mean, that's the bigger driver.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That's all helpful. Thanks for taking my question.
Operator: And we'll hear from Christine Cho from Barclays.
Christine Cho - Barclays Capital, Inc.: Hi, everyone. I thought that Korea is looking like it might take over the top destination for U.S. LNG from Mexico. Is that mostly from the Korea gas contract, or have you guys been delivering there from CMI on top of that? And is that more seasonal or the start of something structural similar to China? Any update you guys would be able to provide on additional SPAs that could come out of there despite the industry view that demand is mostly flat to down longer term?
Anatol Feygin - Cheniere Energy, Inc.: Thanks, Christine. It's Anatol. They pointed the finger at me for this one. So, KOGAS, a very large contract. Obviously, as we annualize that, it will mean more volume going to Korea. We did do spot cargoes into Korea before the start of that contract and to support their requirements. With their change in leadership, you saw kind of late Q1, early Q2 of last year, a very aggressive discussion about Korea's gas requirements and how its power would be procured moving forward. I would say relative to those very aggressive sort of pro-gas expectations, the numbers have been tempered somewhat, but it still looks to us like a meaningful incremental gas market, especially as you move out two to three years and some of their plans on nuclear retirements play out. In terms of Mexico, we still think that that's going to continue to be a very attractive market. Obviously, for us, it's in our backyard whether it's East Coast or West Coast. As you probably know, we're, on any given day, the largest LNG user of the Panama Canal and are very comfortable with supplying the West Coast of the Americas. And it's really up to CFE and what kind of requirements it will have. I think, structurally, as we move over time over the next two to four years, some of the infrastructure projects will ultimately come on and it will be a market that shifts more towards pipe gas as opposed to LNG. But we do think there will always be a role for LNG, and we think we're well-positioned to continue to serve CFE's and PMI's requirements.
Christine Cho - Barclays Capital, Inc.: Okay. And then what's the increased LNG from the U.S. to Asia, which is a pretty long route, doing to charter rates? I think you guys have three ships on a five-year basis. Should we think that you guys will continue to do the remainder with short-term charters or will you be terming some out?
Jack A. Fusco - Cheniere Energy, Inc.: Christine, we actually had 23 ships on the water by the end of last year. And so, we have been very aggressive with that (41:03).
Christine Cho - Barclays Capital, Inc.: But that's mostly short term, no?
Jack A. Fusco - Cheniere Energy, Inc.: It's short, medium and if you want to call it, long. It's all of the above.
Christine Cho - Barclays Capital, Inc.: Okay. Okay. And just...
Jack A. Fusco - Cheniere Energy, Inc.: It's going to be – as far as shipping and logistics, the one thing that I learned about this business over the last year-and-a-half is that it's a big effort, right? It takes a month to get to Asia when you go through the Panama Canal. So, it requires a pretty good base of shipping. And I feel very comfortable that our team manages it very effectively.
Christine Cho - Barclays Capital, Inc.: Okay. And one last accounting question for me. Does your tax guidance assume Corpus Christi 3 gets built? And is that CapEx eligible for 100% bonus depreciation?
Michael J. Wortley - Cheniere Energy, Inc.: No and yes.
Christine Cho - Barclays Capital, Inc.: Okay. Thank you.
Michael J. Wortley - Cheniere Energy, Inc.: It's not in our numbers, but, yeah, we expect it to be eligible.
Christine Cho - Barclays Capital, Inc.: And what kind of impact would that do to when you pay your taxes, if that were to be included?
Michael J. Wortley - Cheniere Energy, Inc.: I guess it would push out the day we're a full taxpayer at 21%, but that's already so far pushed out, and I don't think that it's really material.
Christine Cho - Barclays Capital, Inc.: It wouldn't do anything to when you start to pay cash taxes?
Michael J. Wortley - Cheniere Energy, Inc.: No, because writing off Train 3 would create more NOLs. And those new NOLs are subject to the 80% limitation. So...
Christine Cho - Barclays Capital, Inc.: Okay. Thank you.
Operator: And from Wells Fargo, we'll have Michael Webber.
Michael Webber - Wells Fargo Securities LLC: Hi. Good morning, guys. How are you?
Jack A. Fusco - Cheniere Energy, Inc.: Good, Michael. How are you?
Michael Webber - Wells Fargo Securities LLC: Good. Jack, I wanted to circle back to CC3 and then maybe how your commercial conversations evolve. You're 60-odd percent covered. You're looking to finalize financing, obviously, or it would seem like you would need to have kind of fixed the volume there to kind of nail down the actual pricing on that financing, because it would certainly play a role. So I'm just curious, in terms of your ongoing commercial conversations then, once you kind of closed CC3 at that point, how easy is it to transition those conversations to Sabine 6? Are you at a point now where most of your ongoing commercial conversations from here on out will be around Sabine 6? And would you continue to use CMI or can you use that as kind of a landing pad for these kind of 1 to 1.15 mpta (sic) [mtpa] contracts to then kind of disperse accordingly?
Jack A. Fusco - Cheniere Energy, Inc.: That's exactly the way we think about it, Michael, is number one, we don't think about it as a percentage of cover for the actual production of the Train. I think the way you said 60% covered, we look at the cash flows and the stability of those cash flows, and the creditworthy counterparty, and if it's financeable or not, right? But yes, it's our intent to be a portfolio provider of LNG. So, our entity is a CMI entity, and that gives us the right to deliver from either of our sites, and we like that flexibility and optionality. So you should expect us to continue to do these contracts through CMI. And then as you heard from us, we feel like we're completely commercialized on Train 3. You should expect us to look to build other trains in the portfolio and Sabine 6 is the next one under my sight (44:53).
Michael Webber - Wells Fargo Securities LLC: So, say there's a – I'm sure there were a handful of commercial conversations that were kind of ongoing and then you just happened to get a couple over the line before others. There's no difficulty in kind of shifting that towards kind of Sabine 6 kind of being the kind of the end result. We shouldn't expect any kind of lag or anything along those lines?
Jack A. Fusco - Cheniere Energy, Inc.: It's dependent on what the customer needs, right, and when they need it by. So if it's a contract with a creditworthy counterparty that we could use to help finance Train 6 rather than use incremental volumes that we already have in the portfolio, then we're going to use it to help us continue to build out our sites.
Michael Webber - Wells Fargo Securities LLC: And just maybe a follow-up on Sabine 6, and I know it's a bit unfair to kind of put the cart in front of the horse. You're still finishing Corpus 3. But, Jack, is it fair to think about Sabine 6 as maybe more complex from a commercial perspective in the sense that maybe is it reasonable to think you could use that as an opportunity to maybe bring more parties to the table, potentially simplify the structure? And maybe does that just get a bit more complicated? And do you view that more as a complication or more as an opportunity?
Jack A. Fusco - Cheniere Energy, Inc.: My intent is to create value for my shareholders, long-term value, so that while the capital structure is complicated, it's not going to hinder us from doing what's right for the investor base. And again, we feel like at Sabine 6, just like at Corpus 3, there's a lot of utilities, et cetera, that we've already invested in, that would make that a very competitive Train, and we want to capitalize on that and earn the maximum returns we can for our shareholder base. So, it's not going to influence our decision-making of what entity that sits in, if that's your question.
Michael Webber - Wells Fargo Securities LLC: Yeah. No. I appreciate it. It was worth a shot. Thanks for the time, guys.
Operator: We'll next hear from Ted Durbin with Goldman Sachs.
Theodore Durbin - Goldman Sachs & Co. LLC: Thanks. Here's another one where I'll take a shot and see. When you look at the contracts you've got on Corpus 3, would you say you're trending more towards the lower end or the higher end of that $400 million to $600 million of EBITDA guidance you put out there?
Michael J. Wortley - Cheniere Energy, Inc.: Yes. I'd say, aim in the middle. It's a range. We're comfortable with it and you guys usually take the midpoint and we're cognizant of that. So...
Theodore Durbin - Goldman Sachs & Co. LLC: Okay. Understood. The...
Jack A. Fusco - Cheniere Energy, Inc.: And Ted, it's our intent as soon as we get the financing done, then we'll come out with revised run rate guidance for you all.
Theodore Durbin - Goldman Sachs & Co. LLC: Understood. As we look at the CNPC contract, any color on whether it's more front or back-end loaded? I guess I was unclear on the 1.2 million tonnes. How much of that comes in the 2018 to 2023 timeframe versus the out years?
Jack A. Fusco - Cheniere Energy, Inc.: There's actually three contracts. So there, we just we just executed another contract with CNPC. So I view that relationship as a very long-term relationship. We want them to be successful in what their environmental initiatives are. So, we actually have volumes that are going there, as we speak, and that start in 2018, go through 2018, 2019, 2020 and then continue on for the next 25 years. So, we're not going to give into any specifics as far as how much is front-end loaded and how much is back-end loaded. But I just think it's just the beginning of a very long-term relationship with a counterparty that we feel very comfortable with.
Theodore Durbin - Goldman Sachs & Co. LLC: That's great. And then, can you give us any color on the 2 million tonnes that you hedged over 2018 to 2020, the timing of when you're putting those on? Are they weighted more to a particular year versus another one?
Anatol Feygin - Cheniere Energy, Inc.: Yeah. There are several deals in there, they're roughly ratable over that period. We did some cargoes over sort of a seasonal period and some cargoes completely ratable throughout the year. So, you can think of that as relatively evenly dispersed between 2018 through 2020.
Michael J. Wortley - Cheniere Energy, Inc.: And it's Michael. I'd add that those are physical deals. So, we do a little bit of financial hedging, but that's not really our business. We're out doing physical deals. It's much easier on the balance sheet.
Theodore Durbin - Goldman Sachs & Co. LLC: Yeah. And is it fair to say that those were all put on fairly recently, say, in the last three months or did you have some prior hedges on before this disclosure (50:03)?
Anatol Feygin - Cheniere Energy, Inc.: Really started doing those late Q3.
Theodore Durbin - Goldman Sachs & Co. LLC: Okay. Got it. That's helpful. That's it for me. Thanks.
Operator: We'll hear from Faisel Khan with Citigroup.
Faisel H. Khan - Citigroup Global Markets, Inc.: Hi. Good morning, gentlemen. On Corpus Christi Train 3, I just want to make sure that with the primary metric that the board needed to sort of, I guess, move to FID or one of the metrics, was it just the $400 million to 600 million in EBITDA, was that sort of the target metric that you guys were looking at or they were looking at, too?
Michael J. Wortley - Cheniere Energy, Inc.: No. It's Michael. It was really returns-based, as Jack said earlier. And there are several things that we look at and show the board. And we talked about a 10-year unlevered payout on a contracted basis at a very minimum. But you can look at it as, basically, we want to make a decent return on a contracted basis only, and we want to make much better returns, putting in a reasonable number for the unsold capacity. And that's where we ended up here and it was, I think, an easy decision.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Okay. So the only limiting factor at this point to reach FIDs is with the financing. Is that a fair statement?
Michael J. Wortley - Cheniere Energy, Inc.: Absolutely. And we kicked off the financing last year knowing and feeling that those contracts were imminent. So we're in a position to launch that transaction in a matter of weeks. So, we'll wrap this thing up over the next couple, three months and be on our way.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. And Mike, I think I missed some of your comments on the taxes at CQH. So, can you just give us those numbers again? Did you say that you expect not – when do you expect that CQH will pay income taxes, that number has moved out a bit further?
Michael J. Wortley - Cheniere Energy, Inc.: Yeah. Early 2020s.
Faisel H. Khan - Citigroup Global Markets, Inc.: Early 2020s. Okay. Okay. Got it. And then in the fourth quarter, how many commissioning cargoes did you produce?
Michael J. Wortley - Cheniere Energy, Inc.: In the fourth quarter, I think it was a couple.
Jack A. Fusco - Cheniere Energy, Inc.: So two. Two, Faisel.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Got it. So it wasn't a significant sort of debit to PP&E,, it was a small number.
Michael J. Wortley - Cheniere Energy, Inc.: Yeah.
Faisel H. Khan - Citigroup Global Markets, Inc.: And then just – okay. Then in terms of – and you guys have talked about hedging out some of your supply. What sort of liquidity, Mike, are you looking at? Just like, are these physical hedges with customers or are they – are you using financial hedges that, I guess, to the extent you can see JKM and Sling and those sort of indices?
Michael J. Wortley - Cheniere Energy, Inc.: Yeah. As I said, the 2 million tonnes are physical transactions. We have some capacity to do some financial hedging. We do that from time to time, but that'll be a pretty small part of our business. There's plenty of physical demand out there that's much easier on our balance sheet. And so that's what we're trying to do.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Makes sense.
Jack A. Fusco - Cheniere Energy, Inc.: Thank you, Faisel.
Faisel H. Khan - Citigroup Global Markets, Inc.: Got it. Thanks, guys, for the time.
Jack A. Fusco - Cheniere Energy, Inc.: Okay.
Operator: With Tuohy Brothers, we're hearing from Craig Shere. Please go ahead.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Good morning. How has the Waha Basis blowout impacted both your Corpus Christi marketing efforts and your expected EBITDA contributions from Train 3?
Jack A. Fusco - Cheniere Energy, Inc.: I'm looking at Anatol on that one, Craig.
Anatol Feygin - Cheniere Energy, Inc.: Thanks, Craig. So, we are the 800-pound gorilla in gas procurement these days. And obviously, we're looking at all of the different basins in search for the most attractive economics. But as you know as well as anybody, Rome is not built in a day. So, it takes some time for those economics to reverberate into decisions and ultimately into contracts. But it's certainly a nice tailwind as we look at supplying Train 3 and supplying the portfolio, in general. So, it's clearly a benefit to our efforts on the gas procurement side. And we continue to support the producer community with the attractive solution of moving its volumes to Corpus Christi.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Is it safe to say that the 1.15 times Henry Hub energy supply is not sacrosanct as you firm up these contracts – incremental contracting?
Anatol Feygin - Cheniere Energy, Inc.: So the 1.15 times, which was a really good early estimate, we've talked to you guys about at Analyst Day that the 10% of that is for fuel and shrink and the ops team is doing a fantastic job and doing marginally better than that. And 5% was for the variable cost of gas procurement. And while Corpus is a challenging market to serve, as you said, the development of the associated gas in the Permian is a benefit and will make meeting that 5% hurdle marginally easier.
Jack A. Fusco - Cheniere Energy, Inc.: Craig, are you asking if we had to change our pricing structure to get the incremental contracts?
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Well, I'm trying to get a sense if given everybody's expectations of lower basis that you're able to get maybe more attractive liquefaction fees relative to people's expectations in this current market by showing people that they have this lower feedstock.
Jack A. Fusco - Cheniere Energy, Inc.: Well, okay, remember now, you're talking about international utilities that are not, in most cases, really familiar with the U.S. overall. But the ones that are, we're asking them to make a very long-term bet, right, 20 to 25 years. But I think our pricing structure is more than adequate for us to be able to do incremental transactions. And I think the fact that the U.S. has got a very competitive gas supply situation is a competitive advantage for us near term, and it's up to us to make sure that we can deliver on all of that for our customers.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. Last very quick question. I try to track the C-Corp only operating cash flow minus CQP and ex-working capital. And it looks like that operating cash flow in the fourth quarter was down a fair amount from the third quarter. Is it just those pre-sold Asian cargoes that were deep in the money from a couple of years ago are rolling off or are the split's kind of getting thinner as you get just over $3 and pay all that to CQP? What's driving some of that?
Michael J. Wortley - Cheniere Energy, Inc.: I think it's the 12 cargoes on the water, which CQP recognize those, because they recognize that revenue when the cargo is loaded at the dock. But on a consolidated basis, we don't recognize that until it's unloaded. And so, that's probably the difference. There's not a good rule of thumb there that changes pretty wildly given the quarter. So...
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Understood. Thank you.
Operator: We'll next hear from Jean Ann Salisbury with Bernstein. Please go ahead.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Good morning. I know that you're evaluating your mid-scale LNG project. Can you give us an indication of if we should expect your cost there to be lower than competitors proposing similar projects, if you decide to go that route?
Jack A. Fusco - Cheniere Energy, Inc.: We're actually filing in for a permit for a mid-scale application. So what we're trying to do is make sure we have all the tools in our tool kit depending on how the market continues to develop. So, the way we view it is, it's a different paradigm because it's electric-driven not gas-driven. It's smaller, so there's more of the equipment to get the same amount of tonnage out. So if we have customers that need large quantities, 1 million tonnes or more, we would probably stick with our traditional LNG train, the larger train. If we had customers that started to develop that with smaller quantities, 0.5 million to 1.0 million tonnes, that needed it now and we didn't have access, we would probably go to a mid-scale. So for us, I don't think you're going to see a big variance with any of them at the end of the day because infrastructure costs are so expensive in this business that there's going to be a material difference in capital costs around the board. There's no smoking gun. There's no Moore's law. There's none of that stuff in the good LNG liquefaction business, but it's just more on commercialization.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. That makes sense. Thank you. And then, just a quick one, do customers strongly prefer undisclosed contract terms and is this what we should expect in the market, going forward?
Anatol Feygin - Cheniere Energy, Inc.: I think the answer to that is yes. And you can imagine certain customers are very keen on having those commercial terms remain as undisclosed as possible.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. Fair enough. Thank you for taking my question. That's all for me.
Jack A. Fusco - Cheniere Energy, Inc.: Okay.
Operator: We'll next hear from Pavel with Raymond James.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Thanks for taking the question. Just two quick ones from me, kind of related point, does the offtake agreement or duty offtake agreements with PetroChina limit you from pursuing similar types of contracts with other Chinese buyers? And if they do not preclude that, are you in discussions with other prospective Chinese customers?
Jack A. Fusco - Cheniere Energy, Inc.: Pavel, no, it does not limit us from any other discussion with any Chinese buyers, and you should assume that we're all over that market.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. That's it for me. Thanks.
Operator: We'll next hear – with Morgan Stanley, we have Fotis Giannakoulis.
Fotis Giannakoulis - Morgan Stanley & Co. LLC: Yes. Hi, gentlemen, and thank you. I saw that the two contracts that you signed, actually the three contracts that you signed are with completely different type of customers. And I'm trying to understand if the commercial discussion that you have, they are skewed more to one category or another. I'm talking about between end-user sort of Chinese buyers or traders. And how do these discussions differ between one another in terms of pricing structure and the way that the SPAs are structured?
Anatol Feygin - Cheniere Energy, Inc.: Fotis G, as we will call you, it's Anatol. Thanks for the question. We have some hard and fast rules that our customers needs to be creditworthy and dimensions like that. But other than that, as Jack said in his remarks, we have a lot of tools in the portfolio to offer products to a full range of customers, FOB, DES, portfolio players, end-users. And to your question, we're very proud of the fact that we can come up with the right solution to effectively service all of them. So we will continue that engagement. The first deal at Sabine was with the single largest LNG portfolio player and we've got a long history of working with all types of customers and we'll continue to prosecute all of them.
Fotis Giannakoulis - Morgan Stanley & Co. LLC: Thank you, Anatol. Is there any – in the first contract, you talked about some flexibility that you can provide to the customer. Can you give us a little bit more color what this flexibility means? Is it in terms of pricing structure? Is it in terms of volume? Anything that you can share with us.
Jack A. Fusco - Cheniere Energy, Inc.: No. Fotis, I would say that most of our customers don't want us to talk about their specific contracts. We're very creative and aggressive on our contract negotiations. And you're going to see the result of that when FID the train and we give some run rate guidance forecasts going forward. But we're not going to get into any of the details of the contracts.
Fotis Giannakoulis - Morgan Stanley & Co. LLC: Thank you, gentlemen. I appreciate.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to our presenters for any additional or closing remarks.
Jack A. Fusco - Cheniere Energy, Inc.: I just want to thank everybody for your support of Cheniere. Again, we had an incredible year in 2017. We're just getting started. We're looking forward to 2018. And we appreciate all of your support and interest. So thank you all.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.